Operator: Good afternoon and welcome to the Wynn Resorts fourth quarter and year-ended 2009 earnings conference call. Joining the call on behalf of the Company today are Steve Wynn, Marc Schorr, John Strzemp, Matt Maddox, Andrew Pascal, President of Wynn Las Vegas, and on the phone, Ian Coughlan, President of Wynn Macau. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator instructions) Now I would like to turn the call over to Mr. Matt Maddox. Please go ahead, sir.
Matt Maddox: Thank you and good afternoon, everyone. Before we get started, I just need to remind everybody we will be making forward-looking statements under the Safe Harbor of Federal Securities Laws and those may or may not come true. With that, I am going to turn it over to Steve Wynn for opening comments.
Steve Wynn: Hello to our investors and analysts and hi to our competitors. What we have to say I think going to be very brief because I think these numbers speak for themselves. We had a wonderful year in China. We always want to point out that the most important thing to recognize when looking at numbers of a – in our business is not so much market share per se. That’s a measurement of sort of casino revenue. What really is important is to look at the yield per table and the profitability per table. And I am very happy to see that again for the second or third consecutive year the profitability and the efficiency of our tables in Macau continued to climb in spite of the existence of some very fanciful competition that appeared this year. The Macau is beginning to show some maturity. There are fine buildings that have been opened and are being operated and as market conditions have improved, I think that the rest of the construction that was started and temporarily halted will now continue. That’s all good news as we go forward in having that market big tour [ph]. We’ve happily established a niche for ourselves and our – I think our EBITDA was over $0.5 billion last year. And although I don’t make forward-looking statements as a rule, we are tracking substantially ahead of that the first two months of the year and we haven’t even opened Encore, which is about 60 or 90 days away I think due April 24th, on a Wednesday. I think Linda decided that we’ll do with an April 24th. And that is the most beautiful thing we’ve ever done. And when that kicks in, we’re going to have another little boost in our ability to understand and serve the specific needs of our customers. And our customers are admittedly the top end. This building, Encore in Macau – and I am taking just an extra minute to comment on it – is a building that was designed after we had two years of experience to understand the needs of our particular guests that gamble and visit Macau. When we build Wynn Macau and opened it in ’06, we had done our very best in pre-opening research and design to have the building that would appeal to what we understood to be that market. And I am happy to say that we weren’t very far off the mark and the success that we have enjoyed is a direct reflection of the fact that we were able to get it right, especially in the wonderful employees that we were able to attract to come work for us. The workforce in Macau is totally delicious. I mean the people that have come to work for us from Macau, from Mainland China, from the Philippines, have the most wonderful desire to be trained and to improve and be successful in their jobs. That’s probably been our main asset is the people that work for us, which is why we never cut back on salaries or the thirteenth month or why we never did any of the other things that some of our competitors have done because whether it’s in Macau or Las Vegas, our principal asset are our employees. And the ones we have now in China are just absolutely over the moon wonderful as far as we are concerned. And we have the organization that’s going to be in place to open Encore, I am happy to say in a few months. And I think when everybody gets a whiff of that place they are going to realize that we’ve set a new standard in hospitality, facilities, and the way we present our product. It is by far the best thing I’ve been part, and I’ve been doing this for forty odd years. It’s 414 rooms and suites and I am very excited about April’s opening, I can't wait to share it with everybody. So much for Macau. We look forward to a very healthy and exciting 2010 and beyond. I wish I could say the same thing about Las Vegas, but I am still – as we have been in the past – unlike some of our competitors who have seen all kinds of glitter and wonderment just around the corner; I think everybody has sort of come clean now that we don’t see that. The policies in Washington, policies of government have taken a terrible toll on the working people in America that come to Las Vegas and the Corporations that book conventions and meetings in Las Vegas. I am afraid to say that I think the outlook for 2010 is very conservative at least. I don’t see any major change in the future. I don’t see it getting worse per se, but I do think that unless there is some signal from Washington that they can control the deficit, that not only Las Vegas, but the country faces dire problems. And I don’t see any reason whatsoever to have a spec of confidence in the Congress or the administration that’s there now. And in the end Las Vegas is almost a perfect reflection of the national mood. So I am conservative and guarded about the future of Las Vegas and I think political leadership has now come home to roost as part of every businessman’s conference calls. I mean imagine, it would be necessary for someone in my position with my job to talk to a group of investors and analysts and have to refer to policies in Washington when discussing the relevance of the quarters that lie ahead. But if anybody has got a spec of – sophistication that’s listening to my voice now will recognize that that is in fact true. I’ll take questions and so will my colleagues who are sitting around the table.
Operator: (Operator instructions) Your first question comes from the line of Joe Greff with JP Morgan.
Joe Greff – JP Morgan: Good afternoon, everybody. Just a couple of quickly questions before I ask a couple of more strategic questions. If you can help us may be net on the hold – the net hold impact from Macau and Las Vegas from an EBITDA perspective. And then you referenced in the earnings release in the quarter corporate spend had some one –time items. Could you help us understand what that amount was and what that relates to?
Matt Maddox: Sure. In Las Vegas we hold about 18.7%. If we had been in the midpoint of our range, that would have approximately $15 million of additional EBITDA had we all 22%. In Macau you’ll notice, we only hold 2.7 on – which is at the low end of our range. So I will normalize it for you, but it’s just the low end of the range on the VIP side whereas normalized it would be 2.85. So in Macau–
Steve Wynn: Which is a lot of money!
Matt Maddox: Which is a lot of money in Macau. So 16 billion of total – 17 billion of turnover versus 11 billion of turnover last year, volumes are very strong. If you look at the corporate expense side, for full year 2008, we had about $36 million of corporate expense excluding the quarters. Full year ’09 closer to 45. The difference of roughly $8 million or $9 million is attributable to one-time payments related to the Macau IPO. So, 2009 corporate expenses would have been roughly flat with 2008 outside of those one-time expenses.
Joe Greff – JP Morgan: Thank you. And Matt or Steve, can you just talk about in Macau or Las Vegas collections of credit and if can help to understand what the pressures in – I know you do a – probably more considerable [ph] job of reserving that, but if you can talk about any changes in collections there.
Steve Wynn: Joe, I am glad you brought that up. I am – I know who is on this call. And so I am going to talk to all of them, including my competitors. One of the things that has been really cute about this business of quarterly conference calls is sort of a game of cat and mouse about credit. This Company, Wynn Resorts, has a policy that originates in our audit committee, that is consistent with Sarbanes-Oxley, that is iron-fisted tough about credit, credit reserves and credit accountability. And you’ve noticed that in my – I think almost 40 odd years of experience you never had a special charge. It wasn’t reserved in advance. That’s the result of very, very tough cold-blooded assessment of credit when we issue it and when we create our original reserves. Matt, if you or Scott or anybody wants to talk about our credit reserves and our experiences.
Matt Maddox: I will just jump in. In Las Vegas we are over approximately 45% reserved. And in Macau, almost over 60%, so much higher than I think what it is normally considered industry standard –
Steve Wynn: And if we have a problem, it’s been our auditors who are saying, now just a minute boys, don’t be trying to create savings accounts. We know you are collecting this money. Well we don’t create savings accounts, that’ not permitted by law. But what we do make sure is that we don’t have special charges. You see that in every one of these other companies. I don’t know whether it’s because they want to have fancy quarterly earnings when they don’t really have fancy quarterly earnings, but I find that subject to be a bore. We reserve appropriately and in my entire career, I’ve never had a special assessment because of a bad credit decision. And we don’t have any now.
Joe Greff – JP Morgan: Great. And then my final question, Steve, if you can talk about how you are viewing your Philadelphia opportunity, how that property will be positioned, if you can talk about amenities, hotel rooms, may be how you think about project scope, CapEx, any kind of details on that? I know it may be early, but anything you could share with that will be great?
Steve Wynn: It is early, but I have spent the last several weeks working almost eight, nine hours a day on the program, with my partner, DeRuyter Butler, who designed all these hotels with me. You know we do our work in-house. I am happy to say that we’re feeling very good about our opportunity in Philadelphia. It’s not going to be a hotel; it’s going to be the cutest casino that you’ve ever seen. It’s not going to look like slots in a box. It’s going to have a very definite Wynn signature presentation. It’s going to be extraordinarily and very innovatively user-friendly. And it’s going to have all the bells and whistles that are good-looking, fun, casino, restaurant complex with slot machines and table games and other forms of fun should have. And I think that’s provocative and self-serving enough for the moment.
Joe Greff – JP Morgan: Great. Thank you very much.
Steve Wynn: No hotel rooms, Joe.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka – Deutsche Bank: Hi good afternoon. May be you can talk a little bit strategy going forward in Las Vegas. Is the series correct and necessary slow recovery, how do you look at primary [ph] mix that business bringing back the higher end customer with room rates where they are right now.
Steve Wynn: Good question. Good question really to the heart of the matter. If we have a rather cold-blooded look at the near future, the question is what do you do then and once again, here the oldest story in the book when it comes to our Company. Capital structure is your salvation. It’s capital structure that allows you to hold your head in a down market. I don’t – I am not forced with my colleagues to juggle my employees or to juggle my customer service levels. There is nothing left to do in my industry except do the basics better. And doing the basics better is what we are all about right now as we tend to our (inaudible) in a market that’s sort of rough. So we are building a $67 million beach club and a new night club to add to our existing night clubs called Surrender. And we are improving Switch, our restaurant, that will all be integrated into the Encore beach club. And it’s going to open up on May 21st. – what have we got, 90 days to go? Right on schedule. And the Encore beach club will be just as our night clubs, excess and twist have dominated the market. The Encore beach club will take this very profitable sector of the market, the alcoholic beverage, recreational tumults [ph] that goes along with night clubs, and the margins are fabulous. You know we have 65% profit margins in these departments, better than a blackjack in many respects. The Encore beach club will take the night club mentality into day time. We’ve got this gorgeous two-level Cabana club that will anchor the north end of our property and liven up this end of the strip. And you can walk from the Cabanas out onto a French balcony and look over the strip or on the inside the Cabanas look down on the pool area, which is integrated with the new night club Surrender and our restaurant Switch, which will now have a beautiful terrace dining area. This whole complex which is on the strip side of Encore, where we originally put a port to share unfortunately the hotel that were supposed to be built across the street from us at the frontier side and the startdust [ph] site have been aborted. And we perceived that they will be aborted for the near and distant future. I don’t see anything happening with the special on place project in the near future, nor do I see anything happening on the frontier project. So having a fancy port to share which we unfortunately built for Encore was worthless. Now, another company would have to live with that. Because we have such a strong financial statement, and because we have the working capital that’s necessary to keep us competitive, we take off that unused port to share and we put something on it that would generate profits in 90 days. And that puts more pressure on our competition. More pressure on every level of our competition. We area about refurbish our rooms in Wynn, because they are five years old. It puts more pressure on our competition because our service levels and the targeted attractiveness of our facilities gets more and more infective. Nothing left to do, but the basics better, and that’s the story of Wynn Resorts in Las Vegas.
Chris Woronka – Deutsche Bank: Okay, very good, thank you.
Operator: Your next question comes from the line of Steven Kent with Goldman Sachs.
Steven Kent – Goldman Sachs: Good afternoon. Just two questions. First on Philadelphia to Joe’s question earlier, can you just give us a little bit more detail because I think one of our fears about you going into a market like Pennsylvania is that on the one hand you want to give a very Wynn experience, a great experience, a great property, on the other hand it does have a higher tax rate. And it’s hard to see how you could get a return that you historically have been comfortable with. So, how do you balance putting your name on something that might not have sort of the same appeal? And I guess when I look over history of looking at the industry, there have been times where people have entered Detroit or Pennsylvania, or Mississippi where they have over spent and sort of how do you balance that or what constraints you are–? Then the second thing is, because Steve you just mentioned that you can put a lot of pressure on your competition, which I agree you could, can you talk about Vegas pricing? You are certainly the leader here on pricing. You could stay at these rates and put pressure on the rest of the strip, at the same time again given what is a superior experience, if you discount for too long, don’t you teach your customers that they can get a great experience for half off or whatever the pricing is right now?
Steve Wynn: Let me take the second part of the question first, because it’s fresh in my mind. The danger that you described is real. I mean if rates stay down in Las Vegas, how long that the rates stay down in Las Vegas before they become the norm, you ask me that question. And I say to you, I don’t know, but what should I do. Half empty rooms? You know Steve – can you hear me alright, Steve?
Steven Kent – Goldman Sachs: Yes, I can hear you, Steve.
Steve Wynn: I mean you make a very valid point. But there you are. The revenue is going up by 3% and capacity is going up by over 6% thanks to our friends down the street. Those building were conceived in a different time, but they exist. So does Encore. So, we make the best of it. I’ll tell you one thing. You better damn well have a strong balance sheet if you want to play on this strip and we’ve got one. I think our cash is equal to our debt. And we don’t have any current maturities, we have long maturities, low interest rates. We are protected for stormy weather. And this is again, you know, I said this before. Without a – if you don’t understand the capital structures, the backbone of your marketing, then you need to go back to business school. We understand that here. We don’t need to learn that lesson anew. Now let’s go back to Philadelphia, if we can, Steve.
Steven Kent – Goldman Sachs: Sure.
Steve Wynn: I am building 3000 slot machines and a bunch of table games and a poker room, Italian restaurant, a steak house, an Asian restaurant, because I am two blocks from a Vietnamese neighborhood. I am five blocks from Society Hill. I am in a town with seven universities. About four blocks from the Walt Whitman Bridge, my 14 or 15 acres in on the Delaware river – that incidentally Steve the – al most to the foot, the same as my property in Macau. Two blocks away or four blocks away is the Walt Whitman Bridge. On the other side of the bridge is Cherry Hill, New Jersey. All four of good old – my old friends, Italians, and Jews and every conceivable stripe of that group that love to shoot crab and gamble. And they are ten minutes away in their cars or at a bus from my casino on the Delaware River. I love the proximity to these people. I lover the proximity to the Vietnamese neighborhood. And I am going to put in a beautiful Vietnamese restaurant for them. I am going to build a very pretty place with my – with the help of my Wynn design and development team that is perfectly responsive just to that market. And not a bit more over the top than that. But it will look like us. It won't be a slots in a box. I spent some time this past week with a very good friend of mine, Bob Menukian [ph], who has let’s call Philadelphia Dallas.
Unidentified Speaker: (Inaudible)
Steve Wynn: No, parts casino. And Bob was sharing the results of that casino with me. And I assure you sir that that is not a below-average return on investment. It is a wonderful return on investment because of the low cost of marketing. Listen, no Gulfstream jets, no helicopters, no nothing. And the table games and the slot wins are allowing, because of the limited amount of machines in the market, for returns that are handsome, much better than we get in Las Vegas at the present moment. So, I am not concerned about over shooting the mark. I think we can build a lovely single-level, what appears to be a single level on the outside. You know, you put the valet parking and the employee parking on grade and then you lift the casino by 12 or 14 feet and you drive up to that on the port to share so it look like it’s on grade. And then you have two or three levels of parking on either side of the casino, so you can walk right into the casino from the garages. And we make this super friendly place for users. And they can run in, gamble for three hours, and run out, have a great steak or an Italian dinner or noodles or a slice of pizza, and it will be just the right lighting and great colors. All those things. All those little things that have always given us market superiority. We are going to put them to work for the first time in a straight forward casino, not a destination integrated resort, which involves all those bells and whistles that are so expensive that you are familiar with in the past. So, don’t misunderstand the assignment that we have or our clear vision of what we have to do. I don’t know if that makes feel any better. Are you owning our stock these days?
Steven Kent – Goldman Sachs: Unfortunately as a sell side analyst, I can't, but I am looking forward to the casino opening up.
Steve Wynn: Well, we are going to do it real quick because it’s not a high-rise hotel. We are going to get out of the blocks as quickly as we can, I am testifying. We have some conditions to that we met but I am testifying next Wednesday in Harrisburg.
Steven Kent – Goldman Sachs: Great.
Steve Wynn: I am ready for the next question and boys are sitting here and the ladies.
Operator: Your next question comes from the line of Cameron McKnight with Buckingham Research.
Cameron McKnight – Buckingham Research: Hi guys, it’s Cameron McKnight of Buckingham, how are you?
Steve Wynn: Hi. Are you a sell or buy side guy?
Cameron McKnight – Buckingham Research: I am a sell side guy.
Steve Wynn: Okay.
Cameron McKnight – Buckingham Research: Just a couple of questions, if I may, Steve. Could you comment on just general conditions in Chin at the moment? There are a lot analysts who’ve been writing about a VIP bubble in real estate prices heading – hit a peak. What are your thoughts and how are you thinking about the macro environment in Macau now?
Steve Wynn: Ian. Ian, I know you are up. What do you think about that question? Ian Coughlan, the CEO of Macau, is on the call. I love to have you hear from him.
Ian Coughlan: I think in the three and a half years I’ve been in Macau, there is constant stories perculating about restrained activity, liquidity issues, visa restrictions, and the market continues to grow. When I look ahead over the next 12 months, we’ve had a very good start to the year. And Encore is the only casino property opening in Macau in 2010. So, we have a pretty optimistic view ahead. What happens in China it’s hard to predict at times, but looking ahead, we believe strongly in Macau and we feel we are going to have a good year.
Steve Wynn: If the first two months of this year were any better, I’d be suspicious. If we go straight ahead where we have been, and incidentally we are not holding high, we are holding low, is that right, John?
John Strzemp: Yes.
Steve Wynn: What are we holding the first two months? Listen to this. I am going to make a forward-looking statement. I am going to give you a look at the first –
John Strzemp: Yes, we caught up. (inaudible)
Steve Wynn: We are at 2.8.
Marc Schorr: Yes, 2.8. But, Steve, you know what –
Steve Wynn: And our earnings are up an enormous amount and I am just delighted. Our franchise in Macau is real. Our customers know and expect us to be consistent and we do not disappoint them.
Marc Schorr: You know, Steve, well I don’t think everyone understands this – it’s Marc Schorr speaking – that 48% of our EBITDA dollars come from general casino and slots alone, not just VIP.
Steve Wynn: That’s right. But our general casino customer is different than the other general casino customer by a lot, by a lot. And I like to say that three times, by a lot. We build a better mouse trap so to speak, we build a facility more user-friendly. And there is nothing left in our business but to do the basics better. People come to a casino with a very specific and clear-cut goal in mind. They want to sit down, enjoy the excitement of gambling, have something good to eat, and be well served. That sounds very simple, except that’s not usually what happens. They want to be able to see the cards; the lighting has got to be right. They want an environment that’s emotionally pleasing to them, which has to do with colors and all kinds of minute details that take years and years and years of experience to learn about. And we’ve got years and years and years of experience that we’ve learned about it. It’s unfortunately not the kind of a thing that you can pick up in three weeks with a big bank roll and a bombastic wave of you arm. Nobody becomes Master of the Universe in this business just because they say they are. Bigger ain’t better’; better is better. Next question.
Operator: Your next question comes from the line of Dennis Farrell with Wells Fargo Securities.
Dennis Farrell – Wells Fargo Securities: Good afternoon guys. I have two quick questions–
Steve Wynn: Are you a buy side guy?
Dennis Farrell – Wells Fargo Securities: I am a sell side high yield analyst.
Steve Wynn: Okay.
Dennis Farrell – Wells Fargo Securities: First question is, do you plan on financing Philadelphia through an unrestricted subsidiary of one resorts or through the Wynn Las Vegas level? And second is in terms of strategy as you look forward, as you are – obviously this is your big parade back into the regional markets, do you potentially see, looking at other Greenfield opportunities throughout the U.S. to drive demand to Vegas or maybe their acquisition?
Steve Wynn: Matt?
Matt Maddox: So, on the financing side, it would be through an unrestricted subsidiary, project finance, similar to what we’ve done, not at the Wynn Las Vegas level.
Steve Wynn: And the second part of your question, the answer is yes. I think that this – we really know that region, you know we – I don’t want to use a too self serving a term, but I will. We dominated the Atlantic City market for the seven years we were there regardless of the fact that we were the smallest casino. Not one single quarter did we not make more money than the other guys in spite of how many places opened? We love the South Jersey market. We like the Philadelphia market. And Atlantic City was a difficult place for us for a number of reasons, unfortunately. They either had to do with the local planning and environmental sort of a community leadership. We think that this location on the Delaware river next to Society Hill and the Walt Whitman Bridge is a dandy, we like it a lot. We like it – we like being so close to the customers that we served when we were in Atlantic City in the early and mid-80s. Well – I am very happy about that. And I think Marc looked at it – I think in our current customer base – we had 107,000 rated players in the neighborhood. Within 60 minutes of that casino. And we know those people. We know what they like. And it will also provide some benefit to us here in Las Vegas because we can offer them a chance to come here at –and because we have a more intimate relationship with them. And if another regional opportunity presents itself that we understand, we would jump on it because we go the capital and the experience to do so.
Dennis Farrell – Wells Fargo Securities: Thank you.
Operator: Your next question comes from the line of David M. Katz with Oppenheimer.
David M. Katz – Oppenheimer: Good afternoon. Can you hear me?
Steve Wynn: Good afternoon.
David M. Katz – Oppenheimer: Hi, sorry about that. You used, Steve, in your opening comments, you used the word ‘mature’, or ‘maturing’ relative to the Macau market, and what – and I wanted to try and place that in some kind of a relative basis because early on or in earlier stages, we may have seen growth rates that are 30%, 40%, 50%. And perhaps now, by maturing and I don’t want to put words in your mouth, you may mean something more in the teens, which, if we put that perhaps – in the U.S. market it would seem robust and I just wanted to get a sense for what you meant by that.
Steve Wynn: No, I am sorry, I didn’t mean it that way. I was talking about a maturing in the sense of the facilities that were available, the choices. One of the reasons Las Vegas has been so well – has been so successful for so many years is that the public has had a wonderful menu of choices. Not one hotel, but several that were all different and had a variety of options available to tourists. Macau was very limited when it was a monopoly. And then as the years have gone by, since the opening of the Sands and then ourselves and the people from Melbourne, and then this past year, the Four Seasons opened from the – the Sand opened the Four Seasons and the Melco people opened the City of Dreams. That’s what I meant by maturity. And then here we come with this sexy little thing called Encore. These are wonderful choices. I notice that the business for Chinese New Year was a little softer, even though baccarat was good last year. And I think one of the reasons is that business exploded for Chinese New Year in Macau. And I think it’s because now the choices in China are so wonderful for people that live in South China, they can go to Macau, they don’t have to travel all the way to Las Vegas. Now, again, we had a very big baccarat year last year in Las Vegas in spite of everything else. But I am convinced that the choices that are presenting themselves to people in Asia just as the government intended – you know the reason they broke the monopoly and added more – a couple of more concessions, was so that Macau will become more attractive to a broader range of people and that’s exactly what’s happening. And that’s the kind of maturity I was talking about. As far as growth rate, Macau is jumping this year. What happened is growth rate is keeping up with the expansion in the – in more places, resulting in more business by a lot. That’s what we are seeing at least this first quarter.
David M. Katz – Oppenheimer: So, if I may follow that up, it sounds like you are not terribly concerned about demand but really access and infrastructure to support increasing supply.
Steve Wynn: Very well put. That’s exactly what – that’s my feeling.
David M. Katz – Oppenheimer: Very good. Thank you much.
Steve Wynn: Yes, sir. Next.
Operator: Your next question comes from the line of Larry Klatzkin with Chapdelaine.
Larry Klatzkin – Chapdelaine: Hey, Steve, I guess when you come to Phily, you got to save Steve’s back.
Steve Wynn: I don’t think that people will remember me; it’s been 23 years since I left.
Larry Klatzkin – Chapdelaine: I remember your commercials with Frank Sinatra.
Steve Wynn: Yes, so it was.
Larry Klatzkin – Chapdelaine: They were pretty extraordinary.
Steve Wynn: Yes, they are part of the archives.
Larry Klatzkin – Chapdelaine: Well, maybe you bring them back.
Steve Wynn: That will be hell of a trick. If I can bring Frank Sinatra back, I don’t know if I have to worry about slot machines anymore.
Larry Klatzkin – Chapdelaine: Philly spend, do you have just a kind of a round figure that you may be spending there?
Matt Maddox: Give a minute here, Larry. We just – (Inaudible)
Larry Klatzkin – Chapdelaine: Got to be worth it.
Steve Wynn: Blood just streamed out of his face. You know, but it’s not going to be you know a shaking number, Larry, I told you what we are building.
Larry Klatzkin – Chapdelaine: Yes, I know, you are right on that. How about–?
Steve Wynn: We are going three-storey building; it’s a three-storey structure, including parking.
Larry Klatzkin – Chapdelaine: Would you still look outside the United States at Japan or something, what happened in the future?
Steve Wynn: In an instantaneous heartbeat. Listen, we are more of a Chinese company than an American today as we are having this call. I love it. Thank God for being outside the United States today. There isn’t an executive in the world that isn’t thrilled about being outside the United States today. What are we supposed to do? Draw great hope and satisfaction from the behavior of the Senate and the House of Representatives? If that isn’t enough to give you a heartburn, I don’t know what is.
Larry Klatzkin – Chapdelaine: I am not going to argue there.
Steve Wynn: I don’t think anybody in America is arguing it. There is a furiousness in the country about the irresponsibility. $100 million a month we are supposed to borrow, $100 billion a month we are supposed to borrow for the next five or six years. Why, it’s totally unsustainable. It’s lunacy. I remember the (inaudible) bill; I think it was around 1909. The great political philosopher from France wrote, “The American system of democracy will thrive until that moment when the politicians discover they can bribe the electorate with their own money.” And those damn fools have done it.
Larry Klatzkin – Chapdelaine: You are not hearing any argument here. Let me – a question on Vegas, does the beach club cost you guys any money from disruption or is it – it’s not a major effect that would have any effect until it opens?
Steve Wynn: I am sorry – no, no, we didn’t disruption. We were able it from the outside, Larry.
Larry Klatzkin – Chapdelaine: Okay, perfect, thanks guys.
Steve Wynn: And its’ come along great. It’s on budget, on time, we are going to open it up by May 21st. It will be opened for Memorial Day Cooking.
Larry Klatzkin – Chapdelaine: Excellent. Well, good luck with that. Thanks guys.
Operator: Your next question comes from the line of Dennis Forst with KeyBanc.
Dennis Forst – KeyBanc: Hey, good afternoon. Wanted to ask Matt about the management – I am sorry, the minority interest in Macau. Can you give us an idea of how that number is calculated, just walk us through the machinations, Matt?
Matt Maddox: Sure. It takes place 27.7% of Macau net income. So, not EBITDA but net income, so that’s what’s attributed to the minority to the stake that we sold. You will see net income 100% and then we have to back that number out.
Dennis Forst – KeyBanc: So, if we take that three months operating income number of $89 million and then adjust that, what 27–?
Matt Maddox: It didn’t. You will be able to get to the calculations once we announce our Wynn Macau earnings. Later this month, you will see it quite clearly.
Dennis Forst – KeyBanc: Okay. You will release those in the United States also or will we get those through the Hong Kong SEC?
Matt Maddox: They’ll be probably available on the Internet and on our website. We’ll be filing them with the Hong Kong SEC.
Dennis Forst – KeyBanc: Okay, good. Thank you.
Steve Wynn: Next question?
Operator: Your next question comes from the line of Robin Farley with UBS.
Steve Wynn: Oh, Robin.
Robin Farley – UBS: Great, hi, thanks. I wondered if you can talk a little bit about timing of Cotai given you know the growth in that market balance against the re-start of a (inaudible) projects and is your design process at this point, is that the real timing issue or if other – passing that market, I guess if you could share the thought process with us.
Steve Wynn: We are very keen about our Cotai project. We think it conceivably could be the most beautiful hotel in the world after Encore, which opens up this year. And we can't think of a better place to build it, all things considered, namely the workforce and government policy. We are constrained by the political process itself of getting the entitlement and the details done through planning and public works in Macau. We are full to hilt at that. And our own planning process – it’s an ambitious project. It will involve a couple of billion dollars. And it’s not four or 5000 rooms or anything like that. It’s one hotel on the property and it has some very novel and new ideas. And so we are talking our time with the design, Robin, because we design the hotel first, then we build it. We raise our money before we break ground so that when we do start to build it, we have all of our money together. Now I know these are sort of old-fashioned concepts, design the hotel before you build it, and have the money before you start. But we are in the process of doing all that. And I think it’s going to take another several months before we can answer specific questions that you are asking me today.
Robin Farley – UBS: Okay. Okay great. And I guess one other question about Las Vegas, and I know (inaudible) made a very clear point about how you feel the economy impacting things. But I wonder to the degree that group business on the books, you have a little more visibility on (inaudible). Is there a point, is it too early to say that may be 2011 will be better, in other words, how your 2011 bookings are versus 2010 or just in a common sense [ph], volume of bookings or rate of bookings for 2010 or ’11, just to get a sense of where do you see that.
Steve Wynn: If you are talking about strictly convention booking, you can say that ’10 is better than ’09, and you can say you see a trend of increased bookings. It is totally irresponsible and naïve for anybody to say based upon this slight trend, we project this infinitely into the future and give you some rosy balloony [ph] story about what’s going to happen in ’11. And I am warning my investors that may be on the call, to the extent that you hear any of that from our competitors, beware. There are more questions afoot in this market in America that will impact ’11 than I have hair in my head, I am happy to say, and I still have a full head of hair. No, you’ll not get any of that from us. I don’t see it. I’ve got more questions than answers. I have more pessimism than I have had before. And it’s based upon the political environment in which we are living today. And it definitely is impacting Las Vegas. The President of the United States hasn’t missed one single opportunity to swelch [ph] Las Vegas. In our particular case it’s cost us millions of dollars from companies affected by the President’s remarks that had no connection whatsoever to federal bailouts. But we get phone calls, and I am not going to mention the names of the companies, from Chairmen, who say we don’t want to appear to be profligate because Barack Obama said this or that about Las Vegas. But it’s had an effect on us. The hospitality industry in the United States of America as a whole has suffered disproportionately during this recession. Maybe automobile workers got a break. But all of the hundreds and hundreds of thousands of people that work in the hotels, restaurants, and bars in the United States of America have been totally and completely overlooked in this aborted rescue attempt that has squandered billions of dollars in the United States. And I am being very harsh about it. And I’ve got the data to back it up and so is everybody else in the hospitality industry Job formation and the kinds of companies that make jobs are under attack in the United States of America. You know, MGM – aside for a moment – in – last year we created almost 5000 jobs. And immediately became the target of the administration. Businesses that created jobs, little own gaming companies have created jobs, had to be no good. I mean, it is preposterous that businesses are under attack in the United States of America. Anybody that makes over$250,000 in the form of a personal income tax return is now by Washington definition ‘a rich person’ when everybody who has got a college degree knows that the personal income tax rate in the United States of America is the business tax of America. Every subchapter S, every individual proprietorship, and every partnership in the United States of America files tax returns as individuals. And when they do, and they show that they made $2 million, or $3 million or God forbid $4 million, they pay the income tax rate. They deduct their working expenses, their living expenses and then they invest in a new store, a new shop, and most of the time 25% of their “profits” are tied up in accounts receivable or inventory. But all of a sudden, all of those people who make over $250,000 are rich folks to be fleeced. And if that’s job formation stimulation in America, (inaudible) providence. And if I sound angry about it, and disgusted, I am disgusted and angry at the apparent ignorance of the administration and the Congress to recognize the fact that the individual tax rate in the United States of America is in fact the business tax of America. And if you keep banging on that, you will destroy in the incentive for job formation in the United States of America. And that’s simple truth. Simple truth. And whether politicians like it or don’t like it, it means nothing to me. And that’s why I am pessimistic about Las Vegas, because those are our customers. Those people out there, hustling their businesses, and God forbid, showing that they made a million dollars as a partnership or as an individual, yes, they are the enemy now. They are the rich folks. Well, until we get over this America is in for hard times because what’s going to happen is the people that are going to suffer from what’s going on are the working class of America. My 15 to 20,000 employees they are the ones that are in trouble. The reason they are in trouble is this demolition of the dollar. It’s going to reduce the buying power of the working class of America as sure hell as if we gave them a salary cut of 25%. And that’s another thing that doesn’t seem to be clear to the brilliant people in Washington, D.C. They are not just our customers, they are my employees. And until my employees get the drift of what’s being done to them America is in trouble. Next question.
Robin Farley – UBS: Good color. Thanks for the color.
Operator: Your next question comes from the line of David Bain with Sterne Agee.
David Bain – Sterne Agee: Most of my questions have been answered, but just back to Pennsylvania quickly, in terms of a return, outside of a return on capital, and I understand the synergies that go with it, you mentioned that you spend eight, nine hours a day on it, I mean is it a type of return that’s worthwhile in terms of not detracting – I guess one of the concerns could be that it could detract from larger projects with a bigger influence on the – on a forecast?
Steve Wynn: You are talking about a large project in America?
David Bain – Sterne Agee: No, pretty much worldwide.
Steve Wynn: Well, we don’t have any trouble raising capital worldwide. You know we financed China 100% with Asian financing. (inaudible)
Steve Wynn: Oh my time, I am sorry I didn’t understand. Well I am happy to say this organization is a lot deeper than just me. I am just one shooting my mouth off today. And if you are politically sensitive, you are probably cringing at my criticism of the government, but it’s…
David Bain – Sterne Agee: I am fine.
Steve Wynn: You know, it’s become a factor in our lives everyday on the job here. As far as my time is concerned, I don’t think that Philadelphia, if that’s what we are talking about is detractive. I think that’s a constructive use of my time and I’ll certainly have time when and if opportunities – I mean I work on Philadelphia and I work on Cotai that’s basically what I do now along with everything else that goes along with being a CEO of the parent company. But we find that very comfortable
David Bain – Sterne Agee: Okay.
Steve Wynn: Our capacity.
David Bain – Sterne Agee: Okay. And then if you take a view on Cotai with regard to Cotai with regard to Galaxy sites five and six, I mean long supply and I know that you are essentially viewing Macau, at least it sounds like it’s supply driven. But from a broad strategy point of view, I mean is Cotai where you really begin to go after the max [ph] player and the (inaudible) will become even more focused on VIP – will it change your strategy for Wynn Macau or Wynn Encore?
Steve Wynn: Well, I love the idea that we are going to start five and six, because it’s a Sheraton. They are lower end products. And that’s lot of folks. And then they – Sheldon built all those ferry boats. I think that’s great too. And he was subsidizing. Everybody else on coati buy those ferry boats and it’s also worked out well for him. That’s all great stuff. It all happened. And what I am looking forward to is opening in the nicest place in that neighborhood and skimming off to top end of the business just like we did downtown in Las Vegas, on the strip, in Atlantic City, and we are doing now in Macau. That’s our stick. We do that. We love over developed markets. It’s where we thrive.
David Bain – Sterne Agee: Okay, great, thank you.
Operator: Your next question comes from the line of Kenneth Hong [ph] with Nomura.
Kenneth Hong – Nomura: Hi, good afternoon guys. I am a sell side analyst covering Wynn Macau, Hong Kong. So, one question on the Singapore competition. There has been marketing concern that Singapore is going after the direct VIP market which Wynn Macau is very strong about, so what’s your take on that and do you see any threat, potentially going forward? And also what is the percentage of a VIP customer actually coming from the South East Asia?
Steve Wynn: Okay, first of all, your question is well put and if I can rephrase it, if Singapore is designed to take the top end customer away from us four hours away in a jet, the equivalent of New York to LA, are worried. Now this hotel in Singapore is going to be beautiful. I hope, I suspect that it will be. It’s going up in April. The one that the Venetian folks have built. Now, right down the street, for 25 minutes from our hotel in Macau, the same company built the Four Seasons, designed by their own public announcement to take our business away. People didn’t have to travel four hours on a jet. They decided to do it right down the street. And they weren’t able to do it. So, I hardly can be concerned about a threat four hours by jet away from me if I wasn’t concerned about one that was four miles away from me on Cotai. Does that answer your question?
Kenneth Hong – Nomura: Yes. How about from the South East Asia customer perspective, sir.
Ian Coughlan: It’s less than 5%.
Kenneth Hong – Nomura: Of the overall VIP?
Ian Coughlan: Yes.
Steve Wynn: Our customers are from China and Singapore is further away. They did a clever thing with the taxation in Singapore. I think that Singapore will develop its own market closer to itself in a very organic and well considered way. But to think of the two casinos in Macau – in Singapore as a direct threat to Macau I think is to misunderstand the Singapore market. I am not – I am very optimistic about the Singapore market, don’t misunderstand me. But I think the Singapore market will be Malaysian, I think will be Indonesian, I think it will be that sort of thing, and Thailand, you know and even Brunei, those places that are close within an hour or two. That’s how it works for Macau and that’s how it will work for Singapore. And you can count the amount of people within the range that I’ve just described and you can take a look at their ethnicity. There is a big Muslim population in that part of the world. And you can consider what the size of that market will be. And – but I don’t think – don’t look at Singapore versus Macau in terms of taking customers away. I think you missed the boat on that one.
Kenneth Hong – Nomura: Thank you very much.
Operator: Your next question comes from the line of Charles Kokly [ph] with Stifel Nicolaus.
Charles Kokly – Stifel Nicolaus: I am glad to be on the call. I am neither a sell side or a buy side analyst. I am a stock jockey and a fan of yours for quite a while, and a personal stockholder. That being said, well I’ve listened to your calls forever and I think it’s the most enjoyable call I get to listen to on a quarterly basis. That being said, looking backwards at the Encore, the hopes that you had in the bringing, of course the rug was pulled out under all of us with the political climate and what happened to the economy. Is it what you thought it would be, and is it helping Wynn and how do you feel long term about the strength of twins next to each other?
Steve Wynn: Good question. No, it’s not what I thought it would be. I thought that it would add at least 200 or 250 million of EBITDA to our bottom line and nothing remotely like that has happened. Of course it was conceived in a market that was entirely different today as you’ve just pointed out. It is a beautiful thing that cost $2.3 billion. Now, we made a certain amount of money last year in Las Vegas. That money – we made more money than that without Encore, let alone with it. So now you have to ask yourself a question, if we had no Encore, if we didn’t have those other 2000 odd rooms, would we have made even less? Or would we just be better off because we did – we would have $2.3 billion in cash more than we do now. You know I would love to have the ability to reconsider that decision at the moment, but I don’t. I know this that there is a wonderful powerful synergy that we are seeing in people that stay at Encore and love it and come back. They are paying enough to the rooms to suit me and to suit our pro forma, but neither is that happening anywhere else in America that I know of or in Europe. So, if – what I build Encore, if I had to do it today, no, I keep my money. Fortunately, we had enough money that we don’t sweat it. We have planned that business or not – business cycles go up, business cycles go down. Any sophisticated company plans and has built into its capital structure and a building that survives such predictable events. So, when Encore opened, we were ready, but – I don’t know when Encore’s power will kick in – at full hilt. I know that when the beach club opens up in a few months, they were going to have a lot more people in Encore than we do now, especially on that side, on the strip side of the property and that those tables and those slot machines are going to be a bunch more fully utilized and there is going to be a big profit margin in the beach club and in the Surrender night club and in the Switch restaurant, and there will be a lot more excitement on the north end of the strip because of the visage and the structure itself that anchor our land holdings here on the strip. So, I am very happy about what we’ve added to Encore. But as far as the rooms and what they are doing for us, we are on hold here. And as I said before, I think we are on hold for a while unless the government in Washington gives the world a message that America – Lee Kuan Yew, speaking of Singapore, was in the United States and went to visit the President of the United States. The day before he went to visit the President he was on television on Charlie Rose’s Show. And Charlie Rose asked this brilliant, most elder statesmen in the world, the man who founded Singapore; he asked Lee Kuan Yew, what about America and what advice would you give the President of the United States? And this age Mount Rushmore caliber man said on television, on PBS, and I am sure he repeated it in the wine house, but I wasn’t there of course, he said, unless the government and the administration can learn to control government expenditures that are wildly out of control, the value of the dollar will be decimated and destroyed to the detriment of the people, of the world and the United States and the world. That’s what he said. And until we have a signal that such discipline and common sense has regained its footing I don’t know how to answer the kinds of questions that you are asking. And I don’t think any other business man does either.
Charles Kokly – Stifel Nicolaus: He sounds like Thomas Jefferson, if you do a little reading. Last comment, personal, I had the most memorable dinner of my life – let me add also, most expensive – at (inaudible) with my entire family and that’s the type of memories – that’s why you go back Wynn and Encore.
Steve Wynn: I wish you wouldn’t have mentioned the price.
Charles Kokly – Stifel Nicolaus: Worth every dime! Thank you, Steve.
Steve Wynn: Thank you. Thank you, sir. It’s nice to talk to a stockholder.
Operator: At this time, we have reached the allotted time for questions. I would like to turn the call back over to management for closing remarks.
Steve Wynn: Matt? Ian in Macau, would you like to add anything?
Ian Coughlan: We are just looking forward to a great year ahead.
Steve Wynn: Andy, Andrew from Las Vegas? You’ve been very quiet. I’ve sort of stolen your – you want to comment on –
Andrew Pascal: (inaudible).
Steve Wynn: The basics better. Matt, Marc? John, John Strzemp? I think we’ve given you our story and I am looking forward to the next quarter. Maybe – things seem to be coming to head in Washington. Maybe we’ll have a more optimistic moment as business men in America the next time we all get together. Bye-bye everyone.
Operator: Thank you. This concludes today’s call. You may now disconnect.